Operator: Thank you for standing by. This is the conference operator. Welcome to the STEM Fourth Quarter and Full Year 2023 Earnings Conference Call. [Operator Instructions] And the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Mr. Ted Durbin, Head of Investor Relations of Stem. Please go ahead.
Ted Durbin: Thank you, operator. This is Ted Durbin, Head of Investor Relations of STEM. Welcome to our fourth quarter and full year 2023 earnings call. Before we begin, please note that some of the statements we will be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ materially from those projected in these statements. We, therefore, refer you to our latest 10-K and other SEC filings. Our comments today also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures can be found in our earnings press release. We will be using a slide presentation today to discuss our results. Our earnings press release and presentation are on the Investor Relations section of our website at www.stem.com. John Carrington, our CEO; and Bill Bush, CFO, will start the call today with prepared remarks. Mike Carlson, COO; and Prakesh Patel, Chief Strategy Officer, will also be available for the question-and-answer portion of the call. And now, I will turn the call over to John.
John Carrington: Thank you, Ted. Good afternoon, everyone and thank you for joining us today. Beginning with Slide 3, our agenda today will cover fourth quarter and full-year highlights, outline our 2024 guiding principles and provide several business updates. Bill will then discuss our financial results and introduce our 2024 guidance. Please turn to Slide 4 on our fourth quarter and full year 2023 results and highlights. Starting on the left side of the page, we recognized $4.6 million of adjusted EBITDA. This is our first quarter of positive adjusted EBITDA in company history and meets a critical milestone goal we set for ourselves in 2022. We accomplished our goal through revenue and gross margin growth and ongoing operating expense discipline. For the quarter, our GAAP gross margin was 7% and non-GAAP gross margin was 13%. For the year, GAAP gross margin was 1% and non-GAAP gross margin was 15% which is in line with our guidance. We also continue to grow our high-margin recurring revenue with CARR up 39% year-over-year and in line with the guidance range that was increased by 9% at the midpoint in November. Fourth quarter bookings brought us to just over $1.5 billion for the year, again, in line with guidance. Lastly, our operating cash flow improved significantly in the second half of 2023, up $35 million in the fourth quarter of 2023 versus fourth-quarter 2022 based on improved profitability and better working capital management. This is a metric we will highlight throughout 2024. Moving to the Q4 highlights on the right side of this slide. Our commercial momentum has continued having signed approximately 800 megawatt hours of software-only contracts since the start of the year. That is a nearly 15% increase in our contracted storage AUM in just the first 2 months of 2024. Today, we announced a contract with Mercuria Energy Trading, our first PowerBidder Pro win and we continue to receive numerous accolades for our leading software platform, Athena. Our customers continue to recognize and value our differentiated offerings, as indicated by our high retention rates and top Net Promoter Scores. In December, we published a white paper that demonstrated through backcasting simulation that STEM outperformed competitive software offerings by 28% on average. Customers choose their energy storage partner based on this performance and we are excited to further evidence our superior software offering.  Importantly, we expect to generate at least $50 million of operating cash flow in 2024. I'll leave the details on guidance to Bill but this positive cash flow and measured investments is a key reason why we expect to grow our cash balance this year and are confident we will not need to issue equity to fund operations going forward. Now, let's turn to Slide 5 to discuss our 3 guiding principles for the year ahead. First, cash flow generation. In 2024 and beyond, we expect to generate positive growing free cash flow. We will achieve this by meeting our revenue and margin targets with continued discipline on our operating expenses and reducing our working capital intensity. And again, we do not expect to issue equity to meet our plan. We believe building a business that can fund operating expenses from free cash flow is a critical goal in the maturation of our company and differentiates our business strategy and market opportunity across the sector.  Second, build software services revenue. Later, we will talk about our momentum on software-only wins but we are also focused on converting our contracted software revenue into annual recurring revenue. As Bill will detail later, we have a significant amount of gross profit potential as these systems come online. We have also retooled some of our leadership team with a sole focus on professional services and software-only opportunities. Professional services drive high-margin revenue earlier in the installation process and is a service customers want STEM to provide. Achieving our growth targets for software services is a strategic imperative across the organization and we expect to provide midyear updates on our progress.  Third, we will extend our technology leadership position. We plan to continue innovating Athena through the acceleration of software product launches into markets where we have a differentiated advantage such as public power entities. Generative AI and our India Center of Excellence are both enabling accelerated software development productivity. This global development platform delivers daily releases of software code at high velocity for our customers and enables new products for market expansion.  We executed on most of our key commitments in 2023 and are confident in our 2024 plan. We are proud of achieving positive adjusted EBITDA in the second half of 2023 and hitting our gross margin, bookings and CARR targets. In addition, through disciplined management of operating expenses, we are on track to reach our cash OpEx target in 2024, 1 year earlier than our 2022 Analyst Day forecast. In fact, last year, we decreased our average wage expense by 31% while nearly doubling our contracted backlog year-over-year.  Let's turn to Slide 6 on our commercial traction. Stem’s leading software solutions continue to resonate with a range of customers. As previously mentioned, we have signed approximately 800 megawatt hours of software-only storage contracts in ERCOT and CAISO, 2 of the fastest-growing regions for energy storage. We see this momentum as validation of our differentiated software strategy as Athena consistently delivers significant outperformance relative to competitors. We've seen multiple proof points of consistent customer satisfaction, retention rates are at all-time highs with solar at 99.2% and storage at 98.5%. Additionally, we are proud to announce consistently great Net Promoter Scores of 68 for storage and 62 for solar. These scores represent above-average likelihood of customers willing to recommend Stem.  Please turn to Slide 7. In September, we introduced PowerBidder Pro, a full-featured energy trading toolkit for asset owners and traders. Today, we are announcing that Mercuria will be our first PowerBidder Pro customer. This software-only agreement will support bid optimization for their first ERCOT energy storage systems. Mercuria will have access to real-time performance metrics, industry-leading analytics and customizable trading strategies. Mercuria is a leading independent energy and commodity group operating in over 50 countries with over 1,100 professionals. They are developing a 20-gigawatt renewable energy portfolio and directing more than 50% of their investments into the energy transition. PowerBidder Pro offers a scalable solution in line with Mercuria's renewable development strategy to seamlessly manage trading strategies across an entire footprint and across different power markets. I would note that this was a competitive process where STEM again exceeded all other offerings with robust, differentiated economics and granular control of energy storage assets. We are also announcing that we recently signed a PowerBidder Pro contract for a portfolio of assets controlled by 2 community choice aggregators in California. This is our first utility-scale software-only deployment in CAISO. This win highlights the momentum we continue to see in the public power, municipal and co-op space, as we noted last quarter, with STEM building to an approximate 15% market share in this fast-growing segment of the front of the meter market. In both cases, our software will be integrated into existing assets which underscores our focus on turning contracted revenue into annual recurring revenue as quickly as possible. Please turn to Slide 8. In ERCOT, our data science team has demonstrated Athena delivers best-in-class performance as evidenced by our white paper published in December 2023. We showed through backcasting simulation that STEM outperformed competitive software offerings by 28% on average and as high as 90% in one case. We see two reasons for Athena's outperformance. First, highly accurate price forecast. We generated 53% higher revenue than naive strategy that assumes historical prices persist in the future. ERCOT is an energy-only market with high price volatility, so advanced forecasting capabilities are essential. STEM is a market leader with significant data advantage that has sites operating across multiple geographies. Second, advanced optimization. Our AI-driven solution takes into account thousands of individual variables and constraints to optimize across both day-ahead and real-time energy markets and different ancillary service products. Athena continuously co-optimizes across all market products as their values change over time. And again, our experience and data advantage allow us to consistently improve our optimization algorithms leading to superior asset performance.  The white paper is published on our website and details a rigorous methodology to conduct these simulations, ensuring adherence to ERCOT market participation rules with capacities ranging from 10 megawatts to 100 megawatts across a diversity of electrical zones. Finally, it's worth noting that STEM's program management team which adds a human in the loop, could enhance the automated results. I encourage everyone to download the white paper from our website to learn more about our analytical processes and performance. Our data science team has content showcasing our technology offerings for the ERCOT market, public power and solar plus storage, among others. Moving to Slide 9. Looking ahead for the balance of 2024, we continue to see positive macro tailwinds. Demand for energy storage and solar remains robust, catalyzed by sustainability initiatives, the Inflation Reduction Act decreasing battery prices and improved project economics. Over the last year, we have seen the solar business return to double-digit growth with 4 consecutive quarters of revenue and AUM growth. Solar software has performed increasingly well and remains in high demand from customers. As a market leader for energy storage and solar asset performance management solutions, we expect this robust demand will continue to drive strong, high-margin software revenue in both solar and storage. Energy storage hardware costs continue to decline, driving better economics for our customers and increased overall TAM and demand for our services. In the U.S., we are encouraged by the domestic supply continuing to ramp up and note that 38 battery gigafactories are either operational under construction or planned for construction. We believe that the U.S. domestic content provides compelling opportunities for improved project economics and are pursuing a vendor-neutral strategy to offer our customers access to top-tier suppliers without committing volumes to any single supplier. We are seeing favorable conditions in the supply chain with battery cell manufacturers, potentially entering the market to offer integrated hardware solutions. We expect this will drive increased competition and better hardware costs and terms. This benefits our customers' project economics, enhancing our market opportunity and enabling geographic expansion. In addition to federal incentives, we are seeing more and more states introduce mandates for energy storage, including recent mandates in Maryland, New Mexico and Michigan which are targeting multiple gigawatt hours in each market. Overall, the macro environment remains favorable for STEM and we're excited to expand our software and services leadership position. I'll now turn the call over to Bill.
Bill Bush: Thanks, John and thanks to everyone for joining us on the call today. I'll start on Page 11 with the results of our fourth quarter of 2023. The Revenue increased 8% to $167 million as compared to the fourth quarter of 2022. That performance was despite interconnection and permitting delays and slower-than-expected deliveries from hardware suppliers which negatively impacted our storage business. Solar revenue rose 27% year-over-year, faster than the growth in the U.S. C&I solar market as Power Trek continues to gain share with customers and differentiate itself in the market. In the fourth quarter of 2023, GAAP gross margin was relatively flat year-over-year, while non-GAAP gross margin expanded nearly 20% from 11% to 13%. GAAP gross margin was negatively impacted by one-time excess supplier costs and liquidated damages in the quarter. As John previously noted, we met our commitment to achieve positive adjusted EBITDA in the second half of 2023. That was a milestone achievement for our business and we are proud of our team for reaching this goal. Fourth quarter adjusted EBITDA was $4.6 million and second half 2023 EBITDA was $3.7 million. The year-over-year increase of $14 million in adjusted EBITDA was due to higher revenue, expanded gross margins and lower cash operating costs. We continue to drive operating leverage and efficiencies with strict cost controls. For instance, cash OpEx declined approximately 16% sequentially. We recently restructured our BTM business to prioritize targeted opportunities, leading with software and services with partner channels and a direct-to-market approach. Finally, in the fourth quarter of 2023, operating cash flow was a negative $2.1 million, representing a year-over-year improvement of approximately $35 million. This is a significant improvement that positions us well to generate positive operating cash flow and fund operations in 2024 without the need to issue any additional equity or equity-linked securities. Cash operating expense for Q4 2023 was 13% of revenue as compared to 19% in Q4 2022. For the full year, we achieved cash operating expenses of 24% of revenue versus 31% in the full year 2022, roughly flat at $111 million in both years. We have added a single -- a new slide to the appendix that shows the reconciliation of GAAP to cash operating expenses and we do not forecast a meaningful increase in cash operating expenses in 2024. We ended 2023 with $114 million of cash and cash equivalents which is below our goal in part due to delayed customer payments, a significant amount of which was collected in the first week of January, including a $22 million payment in that week. Turning to Slide 12. CARR or Contracted Annual Recurring Revenue was increased 4% sequentially and 39% year-over-year to $91 million, exceeding our original guidance of $85 million at the midpoint and in line with increased -- our increased guidance range of $90 million to $95 million we provided last quarter. Storage assets under management grew 10% sequentially to 5.5 gigawatt hours and are now 77% year-over-year increase. Backlog continues to predict future revenue growth with a sequential increase of 5% or $92 million, reflecting the impact of current period recognized sales and bookings. Backlog increased 99% year-over-year as we continue to execute large FTM transactions in the muni and co-op spaces and advance our software and professional services offerings. We focus on high-margin projects which meet our cash flow and project timing goals in markets where we can deliver differentiated services to our customers which is reflected in the growth of the business. Solar assets under management increased 5% sequentially to 27.5 gigawatts. This was the fourth quarter in a row of AUM growth on the solar side of the business. And as John previously mentioned, we are confident that the solar business is back on track. We also continue to transition the older platforms to Power Track and can report that we have now converted nearly 50% of the customers and expect to conclude that process this year. This transition will maximize profitability and customer retention. Turning now to Slide 13. Annual revenue increased 27% to $462 million for the full year. Full-year 2023 sales were impacted by the revenue adjustment made in the third quarter as well as delays due to supplier permitting issues offset by positive results in the solar business. Solar business, as mentioned, grew 27%, reflecting the strong rebound in 2023 after a rough 2022 which was dominated by regulatory issues. GAAP gross margin was 1% for the full year 2023 versus 9% in the full year 2022. However, non-GAAP gross margin increased from 13% to 15% in the full year 2023 which was consistent with the 2023 guidance. The increase in the margin reflects a focus on higher-margin transactions in the markets like public power, where we demonstrate differentiated software value to our customers. Adjusted EBITDA improved $27 million to negative $19.5 million in the full year 2023, reflecting the focus on accretive hardware sales, increasing in software and service sales and strict cost controls on the business. With the achievement of positive adjusted EBITDA in the second half, we expect to generate positive adjusted EBITDA for the full year 2024, while focusing on free cash flow. Moving to Slide 14 and 15 which includes our 2024 guidance. Starting with revenue, we expect to recognize between $600 million and $700 million of revenue in 2024 and expect to see the typical seasonality during the year. Similar to prior years in the larger renewable sector, seasonality of revenue is back-end weighted, driven by the timing of the equipment delivery, increasing product sizes and our customers' tax equity and project financing considerations. We expect non-GAAP gross margin of 15% to 20% in 2024. We continue to focus the sales team on the highest margin opportunities, including software and professional services deals where we can drive differentiated economics for our customer and for STEM. With respect to bookings, we expect to contract between $1.5 billion and $2 billion in 2024. The bookings have become increasingly lumpy and more challenging to predict with precision because of the larger project sizes. As a result, we have decided to stop providing quarterly guidance going forward but we'll report the bookings metric quarterly. We expect CARR to exit 2024 at a run rate between $115 million and $130 million. This is a function of our bookings growth, including the software-only deal momentum we have previously mentioned. We expect adjusted EBITDA to be positive for the full year 2024 with a range of $5 million to $20 million. Finally, given the importance of free cash flow generation and our recent achievement of positive adjusted EBITDA, we have added a new key metric, operating cash flow that underscores our commitment to profitable growth, as highlighted in our guiding principles. We expect to generate more than $50 million of operating cash flow for the full year in 2024 without the issuances of additional equity or equity-linked securities. Now to Slide 15 for more context around our 2024 guidance ranges. Our revenue range of $600 million to $700 million leaves room for potential upside from large FTM deals in the pipeline. As our focus on working capital increases and the project sizes increase, armored timing becomes increasingly lumpy and results in variable revenue on a quarterly basis. For example, our average FTM deal has more than doubled in 2022 and almost doubled again in 2023. Our non-GAAP gross margin range of 15% to 20% is driven by the expected mix of hardware and software revenue in the coming year. Improvement in potential upside are driven by professional services revenue and the assumption of a conservative pace of activating non-operational CARR using historical trends. The bookings range of $1.5 million to $2 million assumes modular ESS bookings may include hardware if STEM working capital is not utilized in these projects. As you are well aware, we have been offering customers a modular solution to source their hardware, what we call the modular ESS offering. We source different hardware components from different suppliers instead of the full BESS from one supplier. When we launched the offering, we assumed that our customers, especially the largest one, would procure their own batteries and we would source the rest of the components for them. During the sales cycle, we have found that many of our customers still want us to procure the battery packs on their behalf. We have learned that for many customers, energy storage is still a nascent industry and customers value our superior supplier relationships, configuration, expertise and insight on various supplier cost road maps and performance. There is differentiation in our hardware offerings and customers value. The adjusted EBITDA range of $5 million to $20 million is driven by the expectation that will meet our revenue and margin targets and continue to drive operating leverage. Our CARR range of $115 million to $130 million is driven by software-only deal momentum. And finally, operating cash flow is expected to be greater than $50 million, driven by a shift to adjusted EBITDA positive and reduction in working capital intensity. Through disciplined management of operating expenses, we are on track to reach our long-term cash OpEx goal of 10% to 20% in 2024. And now turning to Slide 16. As John mentioned, one of our guiding principles this year is building software services revenue which includes converting contracted ARR to revenue on the income statement. As you can see from the charts on the right, we have a significant amount of recurring revenue that has not been recognized largely due to delays outside of our control. This represents substantial earnings power that will be recognized as systems are commissioned and become operational. We expect to exit 2024 with around $65 million of recurring contracted gross profit embedded in long-term contracts. We would nearly cover 2/3 of our expected cash OpEx run rate. As a rule of thumb for storage, every $1 billion of bookings represents around $23 million of recurring revenue and around $10 million of gross profit annually. Solar recurring revenue has gross margins of approximately 80% and converts from CARR to ARR within 3 to 4 months. We essentially have 2 cohorts of contracted annual recurring revenue. Those systems that were booked prior to 2023 which include the impact of logistics challenges and constrained product availability in the supply chain. These customers often executed bulk hardware buys in advance of final site locations. As a result, timelines are activating software for this group having said. For the second cohort, we expect the CARR to ARR conversion to trend to the lower half of the 2- to 12-month time frame represented here. We have several initiatives in place to accelerate the conversion of CARR to ARR through 2025 with software-only offerings, a focus on public power where the buying entity controls permitting and interconnection timelines and the operational and contracting changes included in commencing software revenue once the system is energized versus waiting for the final approval to participate in wholesale energy markets. Turning to Slide 17. You have heard us mention on the call multiple times that we remain disciplined on growing operating expenses. Here, we present details behind the significant progress we have made in managing expenses. We are on track to achieve our long-term OpEx goal as a percentage of revenue of 10% to 20% in 2024 ahead of schedule. In 2023, we committed to reaching less than 25% cash OpEx as a percentage of revenue for the full year and we beat that coming in at 24%. Importantly, in 2023, we decreased our average wage expense by 31% while nearly doubling our contracted backlog year-over-year. As I noted earlier, we held cash OpEx flat in 2023 at $111 million as compared to 2022 and do not expect a meaningful increase in cash OpEx in 2024. We view the cash OpEx performance is critical to the achievement of our guiding principle for 2024, generating operating cash flow of at least $50 million. Turning to Slide 18. Since going public, we've seen strong growth in virtually all of our key metrics and we are proud of what we have achieved. Our CARR will nearly double over the next 2 years and we will continue to focus on the conversion of CARR to ARR. For revenue, we have shown steady growth driven by execution even in the face of industry headwinds. We added $27 million of adjusted EBITDA between 2022 to 2023 and we expect to add an additional $25 million to $40 million of adjusted EBITDA in 2024 per our guidance. And for operating cash flow, we are confident we can generate inflows this year as we increase our profitability and reduce our working capital intensity. Much like our execution in the second half of our 2023 EBITDA goal, we view our guiding principle for 2024 to center around operating cash flow of at least $50 million. With that, let me turn the call back to John for some closing remarks.
John Carrington: Thanks, Bill. Wrapping up on Slide 18 with our key takeaways. Our 2024 outlook is supported by solid 2023 execution. In 2023, we achieved positive adjusted EBITDA for the second half and fourth quarter, upholding our commitment to this important milestone set forth two years ago. In addition, we met our gross margin, bookings and CARR targets for 2023. Through disciplined management of operating expenses, we are on track to reach our cash OpEx target in 2024 and do not expect a meaningful increase versus 2023 which was $111 million. We believe that 2024 is set up as an inflection point for building long-term profitable growth. We expect to generate free cash flow to fund operations without issuing equity, build recurring software revenue and extend our technology leadership position. Before we turn the call over to questions, I have a couple of additional updates. First, we've initiated a director search with software industry expertise to be added to our Board of Directors, consistent with our long-term strategic direction. I would also like to announce that Bob Schaefer, the Co-Founder of Also Energy and a terrific asset to our integration efforts and a great business partner to me personally will be retiring on May 3. Bob has been the President of Also Energy, a business he cofounded in 2007. He and the team built a solar software monitoring platform that is market-leading and continues to gain share. We wish him and his wonderful wife, Donna, all the best on this next chapter and he will always be part of the STEM family. With that, I want to thank shareholders, employees, customers, channel partners and suppliers. And now operator, let's open the lines for questions, please.
Operator: Certainly. We'll now begin the question and answer session. [Operator Instructions] The first question comes from Brian Lee from Goldman Sachs.
Nick Cash: This is actually Nick Cash on for Brian Lee. Can you guys hear me all right?
John Carrington: We can.
Nick Cash: Awesome. I guess the first one in front of mind. Just was wondering why, I guess, guidance -- revenue guide seems a little bit limited given your tremendous growth in the backlog as well as you hinted at the demand environment remains robust and input costs coming down probably likely driving up project IRRs, further increasing demand. So kind of just trying to get a better sense of your backlog conversion and cycle times, if you'd walk me through that.
John Carrington: Yes. Thanks. This is John Carrington. A couple of quick points. I think if you look at Slide 15, you'll see a variety of commentary around the guidance. And I think the real highlight I'd note is that we have really several large deals which could present upside to the number. And obviously, we'll update everyone as those come together. But there's -- I think, some good commentary on the -- on Slide 15 in the deck. Bill, do you have anything to add?
Bill Bush: No. I think the other piece that I would say just more specifically, is that the type of deals that we're signing have grown both in size and complex which means that they're longer duration. So the -- for sure, one of the things that we've talked about here consistently, backlog is getting longer. And so that's going to have an impact on the revenue guide. And I think as we said in the deck in the prepared comments there is opportunity potentially for some deals. And if that happens, we'll be able to [indiscernible].
Operator: The next question comes from Dylan Nassano from Wolfe Research.
Dylan Nassano: I want to go back to the opening comments. It sounds like you're pretty clear that you don't plan to issue equity this year. But do you see any potential for maybe needing to pull some other funding levers just to kind of work through the quarterly lumpiness as you get to the $50 million of operating cash flow?
John Carrington: Thanks, Dylan. We do not. I mean our prepared remarks are pretty clear around that. And so we're confident in that statement.
Dylan Nassano: Great. And then I want to go back to the comment on domestic content and how that's favorable for project economics. Can you just provide a little bit more color around how STEM specifically sees that benefiting?
Prakesh Patel: Dylan, this is Prakesh Patel. I think it helps in a couple of ways. First, the domestic manufacturing partners that we're engaged with, they receive certain manufacturing incentives. And then, of course, our customers can benefit from domestic ITC or other incentive adders. So in aggregate, all of these incentives improve project economics and in those cases, allows us to negotiate more favorable pricing or better margins. So that's how it flows to us. As you know, we don't manufacture hardware, so we're not direct beneficiaries of those incentives.
Operator: The next question comes from Thomas Boyes from TD Cowen.
Thomas Boyes: Great. Maybe first one, obviously, great to see the agreement with Mercuria. Given they have a 20-gigawatt renewable energy portfolio, how does that kind of equate to an overall market opportunity for STEM similar to the 10-gigawatt hour energy storage pipeline that was identified for SB Energy in China. Get some insight there?
John Carrington: Yes. Thomas, this is John. I'd say a couple of things. And I think you might have been one of the individuals on the call that were there for the demo at RE+ on PowerBidder Pro that we launched in the third quarter. And look, I'm really excited about this one because obviously Mercuria is a very significant player. What they've publicly committed to is directing over half or at 50% of their investments into the energy transition and planning a 20-gigawatt renewable energy pipeline. We'll work closely together with them as it relates to those projects. At this point, we're not committing to how much of that piece of the 20 gigs we'll go after that we will close, I should say. So more to come there but I think it's just a real statement of how important and valuable this PowerBidder Pro technology is for someone with the domain expertise that Mercuria represents.
Thomas Boyes: I appreciate it. I did see the demo there at RE+; thought it was just great. As a follow-up, from an operations standpoint, is there an opportunity to transfer additional headcount to lower geographies? Or is that kind of largely been exhausted with everyone that can kind of move to India already having shifted there?
John Carrington: No, I'd say we're really continuing to focus on that initiative. The India Center of Excellence actually continues to get better and better as we've gotten more people over there. And there's really -- maybe other than direct sales, there's not a function that we have not considered to put over in India. It's been a very successful approach that we've taken. Obviously, we're always going to have people in the variety of geographies that we're playing in. But I think the slide that outlines the 30% down in wages is a real statement to that commitment and we'll continue to look at India as much as possible as a go-forward strategy. We also feel like on the software development side, it's interesting because you kind of have this 24/7/365 software development piece that is enhancing our, I think, velocity of creating new apps for our software and that's another component that we appreciate and think is a long-term viable option for us. And the teams are really working well together cross [Indiscernible].
Thomas Boyes: Great. Now that's helpful. And then if I could just sneak one more and then I'll jump back in the queue. I just wanted to get some insight on maybe some of the cross-selling opportunities that you have previously identified with the Also Energy portfolio. I think we saw the first really kind of conversion coming through last quarter. And I was just wondering how you're thinking about that opportunity to play out this year.
Prakesh Patel: Thomas, this is Prakesh. We're continuing to be encouraged by our initial traction. We did -- in the full year '23, we did highlight some wins there and we'll continue to advance progress there for us. As we highlighted in the call, BTM is now moving to primarily an exclusive software services focus. So that will drive a refined focus in the cross-sell.
Operator: The next question comes from Justin Clare from ROTH MKM.
Justin Clare: So I guess, first off, just on the 2024 guidance, I was wondering if you could give us a sense for what your expectations are in terms of the mix of hardware sales versus software sales or potentially give us an idea of what the growth expectations are? I know it sounds like many of your customers may prefer you to be sourcing the hardware for them still. So I also wanted to think about that in terms of the context of your long-term targets. So your hardware target of 25% to 35% growth, service is 65% to 85%. Should we be thinking about a change in those targets?
John Carrington: Yes. So thanks for the question. We historically have run around 85%, 15%, 85% hardware, 15% software. We think over time, the absolute value of the software is going to continue to increase. But the prints on the hardware, particularly that of the storage hardware is so high that it's going to be difficult to dramatically change those. So I think what you'll see over time is that growth in software and services which should why -- but a larger absolute dollar growth associated with hardware.
Justin Clare: Got it. Okay. And then just looking into Q4, it looks like the storage software revenue is flat year-over-year. So you could just help us understand why we didn't see more growth given the growth in the storage AUM? Is it specific issues with interconnection or permitting? And then, just wondering if you can give us some insight into whether those could be resolved as we move into 2024? Are there specific large projects that could come online potentially early in the year?
Bill Bush: Yes. So I would say, you're right. It is an interconnection and permitting issue. It continues to -- there are some large projects. I think we talked extensively in prior quarters about United -- that to come online somewhere in the first half of this year. And so that's about a little bit more than 300 megawatt hours of projects which are going to come online. So we're excited for that. And so we're certainly doing a number of things that we talked about them in the slide deck in terms of being able to accelerate the conversion of CARR into ARR. So I think for us, that's a big point. I think one of the points that we made in the slide deck was that if we were able to convert half of the CARR into ARR, that would have generated about $20 million more in revenue. So there's certainly a lot of opportunity for us to be able to increase the amount of services and then obviously positively impacted the gross margin line as well. So we're -- there's a number of things that we're doing. We're investing in the deployment teams. We've got a number of folks that were accelerate the growth of the ARR, i.e. the conversion from CARR. And so that -- those are all things that we're pretty focused on for 2024.
John Carrington: Justin, I'd highlight Slide 16 along the lines of what Bill said. There's some, I think, very good color there. And actually, it's the pro serve side of the business that we're very excited about as well. And we feel like that will be a continued growth area for us and upside to the numbers. So I encourage you to take a look at that. We're happy to follow up on any specific colors.
Operator: [Operator Instructions] The next question comes from Julien Dumoulin-Smith from Bank of America.
Cameron Lochridge: Guys. This is actually Cameron Lochridge on for Julien here. Just wanted to come back and again, congrats on reaching the positive adjusted EBITDA figure in the fourth quarter. If we think about the longer term, right, understanding that there is an effort to accelerate that CARR conversion to the income statement. How are we thinking about the 2025 software and services target that you guys played out at Investor Day, just that 65% to 75% revenue CAGR that you guys have talked about. What are we thinking there? Is that still on the table? And if not, when can we kind of expect an update there?
John Carrington: Yes, I'd say a couple of things, actually. Number one, we're not updating the long-term forecast on this call and really focused on 2024. I think the numbers that Bill just outlined, though, a moment ago of, again, if we converted 50% of the 2023 CARR, it add $20 million of services which is actually a 60% year-over-year growth without the professional services that I just mentioned in answering Justin's question. So it's -- and that doesn't include ProServ. So we'll update that as we move forward but those are the numbers we feel good about the amount of CARR. And as we mentioned in the prepared remarks, the transition from CARR to ARR is a big focus and we've got several initiatives in place, whether it's the PowerBidder Pro event managers as a software-only offerings. Obviously, our focus on public power. We talked about that as well, both in this call and previous calls. And really, those entities are important because they can control the permitting interconnection timeline that Bill referenced and then some operational and contracting changes that we are putting in place to try to gather that revenue sooner.
Bill Bush: I'd add one additional thing. If you look at our guidance for 2024, that doesn't anticipate an acceleration of the software conversion and we still expect to hit those EBITDA and cash flow targets. So there is upside from accelerating the CARR to ARR as well as any kind of traction we make on the professional services side. So for us, much like in '23, even if other things -- some things go against us, we still expect to deliver on the EBITDA and free cash flow targets. Yes. I think the -- when you think about the numbers themselves, I think the free cash flow component to this such that we have never had significant cancellations on contracts. And so by generating the free cash flow that we expect, we should be in a good position to be able to take advantage of those software conversion opportunities. That's really when we think about being EBITDA positive, generating free cash flow, it gives you an opportunity as particularly given that the size of our deals have increased and those will be around for when those systems are operational and that will end up being -- showing up on the income statement and generating a lot of both cash and gross margin.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to John Carrington for any closing remarks.
John Carrington: Great. Thank you, Brenda. And look, we look forward to speaking with you during our 1Q earnings call. And thank you all for joining us today.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.